Operator: Good day, ladies and gentlemen. Welcome to the Quarter 1 2015 Bio-Reference Laboratories, Incorporated Earnings Conference Call. My name is Emma, and I will be your operator for today. At this time all participants are in listen-only mode. We will conduct the question-and-answer session towards the end of this conference. [Operator Instructions]. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Ms. Tara Mackay, Investor Relations Coordinator. Please proceed, ma'am.
Tara Mackay: Thank you. Good morning, and welcome to Bio-Reference Laboratories' First Quarter Fiscal Year 2015 Earnings Conference Call. Bio-Reference Laboratories is one of the largest full service clinical diagnostic laboratories in the country with focused marketing capabilities in the areas of genomics, oncology, women's health, correctional health and physician office pathology. Leading us on the call today will be Dr. Marc Grodman, President and Chief Executive Officer; and Sam Singer, Chief Financial Officer. Some of the commentary made in this presentation may relate to future results and events. Statements regarding the company's revenue and earnings guidance are based on the company's current expectations. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties including general economic and business conditions; future regulatory requirements and pressure on healthcare reimbursements; the service, customer and geographic market mix of any particular financial period; the company's ability to effectively manage its operating costs and collect its receivables in a timely fashion; the level of demand of the company's products and services; and the company's ability to manage its supply and delivery logistics. Additional discussion of these and other factors affecting the company's business and prospectus is contained in the company's periodic filings with the Securities and Exchange Commission. I will now turn the call over to Dr. Marc Grodman, President and Chief Executive Officer.
Dr. Marc Grodman: Tara, thank you very much. This was an excellent quarter for Bio-Reference. It is the first quarter in the past several years that is actually comparable to the same quarter in the prior year in terms of metrics and margins. In other words, it is the first quarter in quite some time that we can compare apples to apples. In that regard, we believe we are on track to do well this year while continuing to address the significant changes in our sector. We will continue to take a leadership role in the evolving nature of clinical laboratories. Healthcare is changing and we too need to evolve. We have taken strides in this regard while continuing our organic growth and improving on our performance. Sam Singer will now review the results of our operations and I will be pleased to follow up with additional comments. Sam?
Sam Singer: Thank you, Marc. Good morning. During the first quarter of fiscal year 2015, which ended on January 31, Bio-Reference recorded net revenues of $208,833,000 compared to $181,270,000 in the first quarter of the prior year, an increase of 15%. Gross profit on revenues for the current quarter was $89,755,000, representing a 43% gross profit margin. In the first quarter of the prior, gross profit on net revenues was $72,154,000, representing a 40% gross profit margin. On January 31, 2015, operating income was $11,928,000 as compared to $5,880,000 for the same quarter of last year, an increase of 103%. Earnings per share on net income was $0.24 per share in the current quarter as compared to $0.11 per share in the prior year quarter. Patient count for the current quarter increased to 2,352,000 from 2,206,000 for the prior year quarter, an increase of 7%. Our net revenue per patient for the first quarter just ended was $88.09 compared to $81.17 per patient in the same quarter of the prior fiscal year, an increase of 8%. On January 31, working capital was $213,792,000 as compared to $207,285,000 that we reported on October 31, 2014. Our day sales outstanding on October 31, 2015 was 113 days. Thank you. I’ll now return the call over to Marc.
Dr. Marc Grodman: Sam, thank you very much. Let’s take a step back because I want to emphasize four points at the outset. First of all, I need to emphasize that Bio-Reference continues to live on the cutting edge of precision diagnostics, genetics and sequencing technologies by offering genomic solutions that span those clinical specialties where personalized medicine will have its greatest impact. Increasingly, more of our business is associated with genetic and sequencing based diagnostic services. Second, with regard to our performance this quarter, this is precisely where we expected to be and in this regard, we did quite well. Third, it’s the first quarter in several years where we can make valid year-over-year quarterly comparisons, given both reimbursement changes we have seen as an industry as well as our investments in our own infrastructure, both of which had substantial changes which occurred in 2013. Fourth, we reaffirm our annual guidance of greater than 10% growth in net revenues and 20% growth in net earnings. We believe that both of these represent strong numbers given the well-documented challenges faced by our sector. As I indicated, this is where we expected we would be when we first gave this year’s guidance. Those of you who have followed us for years are well aware that first quarters presented challenge to us given our October 31 fiscal year end. Revenue was typically down given the effect of the seasonal holidays in and December; the weather challenges of the quarter compared to the summer and autumn months of the third and fourth quarters; and now, given the shift of our business toward some testing specially, the higher priced genetic tests, more elective diagnostic services that are associated with the decreased utilization given, higher early in the year deductibles, these are expected. These results have historically resulted in lower sales for the first quarter; lower net income in the first quarter; higher DSOs often due to lower sales and a decrease in the cash flow in the first quarter compared to the previous fiscal year fourth quarter and usually negative free cash flow. This has been true for decades. And with the exception of a slight improvement in cash flow this quarter from the previous fourth quarter and positive free cash flow, these parameters remain true this year as well. None of this should be surprising and it’s in this regard that we can reaffirm the guidance that we have previously stated. As some of you may recall, 2013 was tumultuous in the clinical laboratory sector that affected all companies in the laboratory space, probably most companies in the healthcare space due to reimbursement changes; payment policy modifications and overall payer behavior, all of which resulted in estimating a decrease in revenue per patient of non-genetic testing by greater than 5%, a substantial change that we believe was confirmed by statements of others in this market. These changes also corresponded to a time of relatively intense increase in our infrastructure expense, not only for new laboratory facilities in Florida and California but also as we prepared for the outstanding opportunity in a wide range of new genomic testing. That was then. These were challenges and obstacles we have responded to. We didn’t do it by buying back stock; we didn’t do it by massive across the board cuts by cutting customer service; we didn’t do it by skipping on innovation. We didn’t do it by abandoning our commitment to growth. We did it in the face of outsized legal expenses. They just seem to have remarkably washed away with the changing of the tides. We become more efficient wherever possible while continuing to feed the growth where we saw opportunity. We did it with the continued emphasis and leadership in sequencing based genomic diagnostics. 2014 represents a reset of our margins. And as I mentioned earlier, our current first quarter is the first time in over 18 months where comparing comparable quarterly performances makes sense. Our revenue for the quarter was up over 15% with an increase in revenue per patient from $81.17 to $88.09 or a bit over 8%. This is consistent with our growth in all sequencing based testing. While much of this can be attributable to tests marketed under our GeneDx franchise, in reality, it includes testing offered through other areas, through GenPath Oncology and GenPath Women's Health, as well. Net Income for the quarter was $0.24 as compared to $0.11 in the first quarter of the previous year, an increase of almost 125%. But we are not ignoring the impact weather had on last year's results. And given the benefit of the $0.05 per share of earnings we estimated that was lost last year due to inclement weather, we still would have shown an increase in earnings per share of 50%. Even further, this does not take into account the increase, the delta in legal fees this quarter due to matters mentioned earlier of almost $0.03 a share that occurred in the current first quarter over the comparable quarter last year. Gross margin for the quarter was 43% compared with 40% the previous year and demonstrates the improvements we implemented last year to become more efficient in reaction to the reimbursement environment without interfering with our growth in strategic areas of innovation. The greatest leverage was seen in both, employee expense as well as in cost of goods. SG&A did not leverage quarter-over-quarter but there are clear reasons for this, the most prominent of these as I mentioned was the increase in legal fees from the same quarter of last year of almost $0.03. Most of this increase was related to expenses with regard to the court case involving BRCA and other inherited cancers. As most of you know, most of these matters have been settled and withdrawn by our adversary. Only time will tell whether all these extraordinary expenses bourn by many laboratories would have any lasting effect. But clearly the battle to allow genetic testing to be free of limitations is a war well worthwhile and proud of our roles in this conflict. The other significant legal matter is our case against Horizon Blue Cross Blue Shield, which will be a lengthy process and is moving slowly through the discovery phase. Sales and marketing remains flat at 9% of revenues and we expect that to continue. We are a growth company and we are a service company. Our commitment to growth remains firm. We have new instructive services to offer; we need to make them available to as many clients, physicians and providers as possible. We do not expect this level of expense to decrease for the rest of the year. Bad debt for the current first quarter was around 8.5%, quite similar to the percentage for the same quarter in the prior year as well as for the entire previous fiscal year. We expect this to be relatively consistent for the remainder of this year. As I’ve stated in the past, unless we see a substantial change in our payer mix, we don’t foresee any change to our bad debt in the near-term. DSOs were 113 days in comparison to 111 for the same period last year. We hoped that they would have come down. However, there are some insights in to this metric that we think are important. The increase in the first quarter was historically structural relating to the decrease in sales for the first quarter from the immediate preceding fourth quarter of the previous year. The increase in DSOs in the first quarter was substantially less in the same metric last year. And among the lower fourth quarter, increase is to success of first quarters in the past decade. As we have mentioned in the past that ever increasing percentage of our revenues derived from molecular diagnostics and genetic testing in particular. Payers are still finding the way around this higher reimbursement testing area. And we are continuously establishing newer more comprehensive demands for medical records; medical necessity; and authorization. We have continued to dedicate the resources to establishing the requirements so we can again see reduction in these payment cycles. Nonetheless, as we stated before, the clients; the professionals that request this testing are highly trend people who by and large know how to use these sophisticated tests. And these tests are critical to patient healthcare. And we believe reimbursement necessity [ph] become more simplified. However, we are pleased that cash flow for the quarter was just over $10 million, the first time in our history that a first quarter cash flow from operations was an improvement over a positive cash flow in the fourth quarter of the previous year. Moreover was the best cash flow from operations since the fourth quarter of 2012. We are also pleased that free cash flow was just shy of $4.3 million, the highest free cash flow ever in the first quarter and the highest free cash flow in any quarter since the fourth quarter of fiscal year 2012. We are getting better. The challenges of 2013 together with the growth in genetics with the associated added complexity in the reimbursement process for these tests have presented obstacles, but we are showing improvement. Every year, every quarter, we speak about our growth and leadership in each of our focused areas, regional testing; women’s health; oncology; genetics; even Laboratorio Buena Salud, our Spanish first clinical laboratory testing service. We’re a growth company and our strategy one that distinguishes us is to grow in multiple markets along specialty lines is also central to our vision and business plan continues to serve us well. As I’ve said, healthcare evolves and we must evolve as well. As much as we have lived on very strict marketing approaches that clearly define our firm [ph] provider, there are opportunities we must pursue that will blur some of these lines that we have traditionally saw to delineate. We’ll continue to grow but in addition to our major business lines, there are three additional strong themes that we’ll pursue, all of which present opportunities to leverage the significant and unique assets we have guarded over the past few decades. Most of these will play out over the next year and the next subsequent years. First of all, we need to be provider centric. I’ve talked about this for some time, providers are changing; they are taking on more risk. We have information and assets that can certainly provide more value than just delivering reports. And we need to make ourselves user-friendly to providers as they prepare for the changing market landscape. We will differentiate ourselves as being the laboratory that seeks a partner and not compete. Second, our commitment to partnerships extends through expertise in genomics and we will continue our efforts, no matter the specialty or particular application to advance this aspect of diagnostics. We are the world leader in exome testing, the panel to the genetic tests. We believe our sequencing menu and expertise is as comprehensive as any laboratory in the world. And the franchise recognition of GeneDx is clearly international. We recently announced the introduction of a new service in tumor sequencing, a service that combines clinically actionable, accessible and cost effective solutions to meet an emerging need in cancer care. There will be other offerings introduced later this year to answer other clinical needs and requirements in the cancer community. But, we’ve been doing this for a while. We understand the intricacies and granularity of the market. And we know that all these offerings will share our commitment to be cost effective, to be user-friendly. Our expertise in both germ-line and symmetric cancers to deal with genetics in cancer together is it ones differentiating; unique; and valuable. This leads to our third major theme, the creation of our commercial collaboration innovations units under the direction of Joe Donahue, individual who has spent most of his career working to unlock the value of bioinformatics and clinical data. As we previously announced, we do work for many of the greatest medical institutions in the world. The information our partners generate are formatted with informatics required to link clinical characteristics or phenotype with sequencing data is living critical data. Our vision is to work with them to make this knowledge more accessible for patient care, for research, for education and facilitate collaborations. This is a long range view. The purpose of this new business unit is to marry the information generated by our clients with those who can maximize its impact, specifically pharmaceutical companies whose R&D efforts will be enhanced by the information that we and our partners generate through our genomics and informatics. We’re also extremely pleased to announce that earlier this week we added a new outside director to our board. Ilan Kaufthal is a remarkable person with an incredible wealth of knowledge, business, people, processes who will bring valuable insight to the board as a result of his long standing Wall Street and banking experience. Ilan served as Vice Chairman of Investment Banking at Bear, Stearns from 2000 until 2008. Prior to that position, he was Head of Mergers and Acquisitions as Vice Chairman of Schroder & Co from 1987 until 2000. And since retiring from Bear, Stearns, Ilan has sat on several boards and is involved in advisory capacity at several organizations. We have long believed that Clinical Laboratories need strategic partnerships to leverage and maximize its underlying potential and in this regard, Ilan's experience and counsel will prove invaluable. The other matte I would like to address is that Sam Singer, our CFO since 1988 will be retiring from that position effective as of April 30th of this year. In 1988 when Sam joined us, Bio-Reference completed its 30 years as a public company with revenues that were just shy of $4 million and a net operating loss of about $2 million. We survived the turbulent 90s as a clinical laboratory in the same corporate structure while others were forced to sell, merge or liquidate. During this time, we raise a grand total, good or bad of just a bit over $5 million of equity, have relatively little debt. And since 2002, we have had an average annual ROIC of about 16.5%. Those who know Sam will describe him as conservative taciturn and thorough. I’ve appreciated his counsel through the years and we could not have done any of what we have accomplished without him. Nick Papazicos who has served us most recently as our Senior Vice President of financial operations will assume our CFO role. Nick has brought us critical information to allow us to manage our business in challenging times. We look forward to Nick’s future contributions. I want to make a few comments on other issues of note. I believe we continue to question the guidance of regulation of laboratory developed tests by the FDA, guidance that was put out by the FDA number of months ago. These tests, the laboratory developed tests that we all perform developed in both academic and commercial settings have been the source of virtually every advancement we have seen in personalized and precision diagnostics over the past decade. They represent the best that our laboratory community provides. They define innovation. For me, I don’t see the need for our professional services to become the subject of the new national infrastructure of oversight that we can’t afford and for which the underlying need has not been demonstrated or established. We remain to take an active position in this issue. With the passage of PAMA last year and implementation of Medicare rate changes reflective of market pricing in 2017, I would expect little attention paid for laboratories in the current SGR negotiations. But when the basis of annual policy simply results in an annual patch, you can never be too sure what one finds. But I would not think there would be a great impact this year the one can’t ever be sure. Finally, we will continue to evolve. Changes in the marketplace have if anything validated, our vision at the information we have will continue to generate is incredibly critical. Our position at the intersections of cancer and genetics, diagnostics and informatics of providers and patients allow us an opportunity to do something special, building value from that position. It’s our mission that all the people here have committed every ounce of their being and commitment. I want to thank all of you for being on the call. And I’m pleased to take any questions.
Operator: [Operator Instructions]. Your first question comes from the line of Amanda Murphy of William Blair. Pleased proceed.
Amanda Murphy: Hi, good morning guys. How are you? Quick question I guess on the growth. So, obviously the esoteric growth and sequencing has been very impressive. I think if you look at routine testing growth that’s growing kind of low single digits. So, just curious to hear your views on that side of the business. I think that there was some potential for managed care contract changes that might have benefited you at some point this year. So, is it possible that that number kind of picks up through the year from the routine growth?
Dr. Marc Grodman: Sure. I think that there is -- we don’t really like to go on to make changes in terms of what trends are on a quarter by quarter basis. We operate a number of different segments; as you well pointed out, some of them are genetic testing and sequencing that have their own rhyme and reason and growth and spurts during the year. And you’re right; other ones are between oncology and women’s health. And regional testing also comes and goes with a lot of different variations and some are more affected by the months. I can’t comment; there has not been any major changes in our market for manage care changes. However, I think in the next few years, there may -- will be increased opportunities. But I still think that this remains one of the areas, even though it may not be something apparent in this quarter where it’s something very sensitive to other factors and certainly to weather. I think there are opportunities in the regional. It’s not something that we’ve made our highest focus but we’re there and we do this work and we do the work with specialty work, we take up. So, I do think in the coming year and two, there will be some very interesting opportunities in our market that will come to us.
Amanda Murphy: And then the sequential, I mean the growth is great but it’s down a bit sequentially. Is that kind of to your point about first quarter dynamics with holidays and whatnot?
Dr. Marc Grodman: No, I mean that is absolutely what has happened. We’ve gone through this every single year where there has been a decrease in the revenues in the fourth quarter. A lot of it has to do with the structure of November and December. And we’ve answered these questions for more than a decade about it. If anything, there is a little bit as I mentioned over, there are more -- a little bit more in some of the more elective tests with the onset of deductibles in the first part of the year where tests are not necessary. And you see more of that coming in toward the end of the year. But this has been a structural phenomenon that we’ve had and gone through really every year since we’ve done that. And where we see the effect of the year, we’re pretty comfortable which is why we reaffirmed guidance today.
Amanda Murphy: Got it, okay. And then on the price per accession, it looked like that ticked down a little bit sequentially, just a touch. Anything there that is synched with mix that you are doing that would lead continuing to pick up?
Dr. Marc Grodman: Yes, I just answered that by saying that sometimes you’re going to go see in the early part of the year which is usually a strong month; because of higher deductibles, you may not see that as strong in that area.
Amanda Murphy: Okay. And then the cash flow side, obviously that was a great number for you guys. What’s driving that? And given the DSOs have picked up a little bit and this is…
Dr. Marc Grodman: The function of the DSOs is related to just the sale; it’s the sales part of it, not the AR part of it. So, the AR rise was very minimal. And we’ve been able to collect well. So, it was just effective. Whenever something equilibrates down to a new, it just takes years to be able for the system to equilibrate back. So, this is what we’ve been through before. The last time we broke through was a number of years ago when we did until the changes of 2013. And if you look at the last year, we’ve just slowly been able to get back and improve where we are.
Amanda Murphy: Okay. And then just last one given the sequencing exposure -- or not exposure, the growth that you’ve had, what’s your thought on the all the new next gen coding that’s been worked through by the CMS and EMA, just thoughts on that?
Dr. Marc Grodman: Of course we remain involved in it and of course we’re involved in some of the panels that are done nationally. There is a great deal of uncertainty about it right now. It is not clear that how it’s going to be adopted and what payers want to be able to go bring it in. And so, we just remain cautious about it. But I don’t think there is enough to go in and make any -- there no way to go make any real conclusion about this, either positive or negative with the information that we’ve seen. We just don’t have enough to base any real thought or guidance on it.
Amanda Murphy: Okay. Thanks very much.
Dr. Marc Grodman: Okay. Thank you Amanda.
Operator: I would now like to turn the call over to Dr. Marc Grodman for closing remarks.
Dr. Marc Grodman: I want to thank all of you for being on the call and I appreciate that. We’re proud of this quarter; we’re proud of the mission of what we are pursuing. And I wish everyone the best and we look forward to our second quarter call this year. Thank you very much.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.